Operator: Welcome to the Capstone Turbine Corporation Earnings Conference Call for the Second Quarter Fiscal Year 2015 Financial Results ended on September 30, 2014. During today's call Capstone management will be referencing to slides that can be located at www.capstoneturbine.com under the Investor Relations section. I will now turn the call over to Jayme Brooks, Vice President, Finance and Chief Accounting Officer. Please proceed.
Jayme L. Brooks: Thank you. Good afternoon, and welcome to Capstone Turbine Corporation's conference call for the second quarter of fiscal year 2015. I am Jayme Brooks, your contact for today's conference call. Capstone filed its quarterly report on Form 10-Q with the Securities and Exchange Commission today, November 6, 2014. If you do not have access to this document and would like one please contact Investor Relations via telephone at 818-407-3628 or email ir@capstoneturbine.com or you can view all of our public filings on the SEC website at www.sec.gov or our website at www.capstoneturbine.com. During the course of this conference call management may make projections or other forward-looking statements regarding future events of financial performance of the company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements relate to, among other things, growth and diversification of our end markets; strengthen distribution channels; ongoing new order flow; reduced cash usage; growth in revenue, gross margin and backlog; attaining profitability; achievement of our EBITDA and cash goals; adequacy of liquidity and capital resources; improved operating leverage; new product development; shifts to larger markets for our products; benefits from our cost-reduction initiatives, continued opportunities in Russia; growth of key markets; advantages of recent political developments and compliance with government regulations. Forward-looking statements may be identified by words such as expects, objective, intent, targeted, plan and similar phrases. These forward-looking statements are subject to numerous assumptions, risks and uncertainties described in Capstone's Form 10-K, Form 10-Q and other recent filings with the Securities and Exchange Commission that may cause Capstone's actual results to be materially different from any future results expressed or implied in such statements. Because of the risks and uncertainties, Capstone cautions you not to place undue reliance on these statements, which speak only as of today. We undertake no obligation and specifically disclaim any obligations to release any revision to any forward-looking statements to reflect events or circumstances after the date of this conference call or to reflect the occurrence of unanticipated events. I will now turn the call over to Darren Jamison, our President and Chief Executive Officer.
Darren Jamison : Thank you, Jayme. Good afternoon, and welcome everyone, to Capstone's second quarter 2015 earnings call. With me today are Edward Reich, our Executive Vice President and Chief Financial Officer. Today I'll start the call with a general overview of the second quarter. Ed will then review the financial results and I will close with some comments about our markets and geographies. As the operator said during our remarks we'll be referring to presentation slides that can be found on the Capstone's website under Investor Relations. Let's go ahead and start with slide two for the second quarter highlights. The second quarter of fiscal 2015 was a vast improvement over the first quarter in terms of timing of shipments and the overall sales volume and revenue. For the second quarter revenue was $32.2 million, gross margin was $5.2 million or 16% of revenue, and backlog remained very high at a $172.3 million at the end of September 30. New orders were up 12% in dollars compared to the first quarter and 5% dollars year-over-year. Our balance sheet is strong with almost $41 million in cash at the end of the quarter. Turning our attention to slide three, gross margin increased 240 basis points year-over-year despite the softer revenue which is a direct result of the substantial operating improvements we are continuing to make to reduce our manufacturing costs. This is our eight consecutive quarter of double-digit gross margins and the year-over-year second quarter trend line clearly shows our steady margin progress. Turning to slide four, we shipped a 166 units representing 28.5 megawatts in the second quarter of fiscal 2015 compared to 164 units representing 30.1 megawatts in last year's second quarter. So overall our C65 shipments for the quarter were the most in company history. In comparison to the first half of the last year we are down just over 5% megawatt shipped primarily as a result of timing of customer demands. It is critical to know these are not -- delayed, these are delays and not cancellations from our distributors and all leading indicators remain positive. Our pipeline continues to be robust and is in excess of $1.4 billion globally. So we do believe we can return to year-over-year revenue growth in the second half of the fiscal 2015 which historically and typically are our strongest quarters of the year. I'll pause right there and turn the call over to Ed and let him go over our specific financial results.
Edward Reich: Thanks, Darren. Good afternoon, everyone. Let's begin on slide five with a review of the second quarter results. Revenue for the second quarter of fiscal 2015 was $32.2 million compared to $23.3 million for the first quarter and $35.3 million for the same period last year. Product revenue was $26.7 million compared to $17.6 million for the first quarter and $28.7 million for the same period last year. Revenue from accessories, parts and service was $5.5 million compared to $5.7 million in the prior quarter and $6.6 million for the second quarter of last year. Gross margin for the second quarter was $5.2 million or 16% of revenue compared to $3.4 million or 15% of revenue for the first quarter and $4.9 million or 14% of revenue for the same period last year. The 240-basis-point year-over-year increase in gross margin primarily reflects lower royalty and warranty expenses and favorable overhead absorption that was partially offset by the adverse impact of customer and product mix. Second quarter R&D expenses were $2.1 million compared to $2.3 million last quarter and $2 million for the second quarter last year. SG&A expenses were $9.5 million for the second quarter, compared to $7.8 million for the first quarter and $6.6 million for the same period last year. The year-over-year increase is primarily due to a $2.9 million increase in bad debt expense related to an accounts receivable allowance for a single distributor. This distributor has been in business for over 20 years and has serviced North Africa and Middle East for us since 2012. The allowance relates to a single end use customer order and we are working with our distributor and expect the situation to be resolved by the end of this fiscal year. Net loss of $6.5 million or $0.02 loss per share for the second quarter of fiscal 2015 compared to a net loss of $6.8 million or $0.02 per share last quarter, and a net loss of $3.9 million or $0.01 per share for the second quarter of last year. The loss from operations for the second quarter of fiscal 2015 was $6.4 million compared to $6.7 million for the first quarter and $3.7 million for the second quarter of last year. I will now provide some comments on the balance sheet and cash flow activity. Please turn to slide six. Cash and cash equivalents totaled $40.8 million at September 30, 2014, compared to $46 million at the end of the prior quarter and $28.3 million a year ago. In September we extended the maturity date of our export import sub facility under our credit facility with Wells Fargo Bank to September 1, 2017. In addition on November 3rd we received the waiver from Wells Fargo with respect to not being in compliance with annual net income financial covenants of credit facility, as of September 30, 2014 and we amended the agreement with Wells Fargo to reset the net income covenant with a remainder of fiscal 2015. With our cash on hand combined with our credit facility we believe that we have ample liquidity to fund our growth plans and to meet increased working capital requirements that are expected as a result of stronger second half. We continue to maintain our focus on reducing our cash requirements and in the second quarter of fiscal 2015 we used $5.6 million of cash in operating activities, of which $4.4 million was used for working capital and spent $700,000 in capital expenditures. This compares to cash generated from operating activities of $8 million and $300,000 in CapEx during the second quarter last year. We expect to make additional progress in our cash flow over the remainder of the fiscal year. Receivables were $23.2 million at September 30th compared to $24.2 million at the end of the prior quarter and $18.4 million a year ago. DSO was 65 days for Q2 compared to 94 days in Q1 and 48 days for the same period last year. Inventories were $22 million at the end of the second quarter, down from $25.4 million last quarter, and $23.8 million a year ago. Inventory turns were 4.6 times compared to 3.4 in Q1 and 4.6 a year ago. Finally, slide seven shows our growth in backlog since the beginning of fiscal 2007. While backlog decreased to $172.3 million at quarter end compared to $175.2 million last quarter it showed a 15% increase from a year ago. While we are disappointed in the continued product shipment delays during the second quarter we are encouraged by our backlog, which is a positive indicator for future growth. As our customers work through their project completion schedules we expect to realize year-over-year revenue growth in the mid-single digits for the second half of our fiscal year. In addition we anticipate continued margin expansion for the remainder fiscal of 2015 based on continued progress on our cost-savings initiatives. We also maintained our expectation of crossing over to positive EBITDA plus stock comp during this fiscal year. That concludes my comments. Now back to Darren.
Darren Jamison: Great, thank you, Ed. Now we’ll talk about our sales and marketing developments. Please turn to slide eight. For our vertical markets by product shipment for the second quarter, 57% of our shipments were for the use in natural resource applications, including oil and gas; 39% were for the use in energy efficiency or CCHP applications; and 4% for the use of renewable energy. On the right hand side of slide eight you can see our geographic markets by revenue for the second quarter. North America was 50% followed by Europe at 35%. Africa was 6%, Asia 5% and Australia and rest of the world were each 2%. Let’s turn now to slide nine, here you see the micro turbine shipments by megawatt for the second quarter. First, North America at 12 megawatts with Horizon, Infinity, Regatta and DTC again making up four of our top six distributors from a total revenue perspective in the second quarter. This indicates the continued strength of the North American micro turbine market particularly in oil and gas and combined heating power. Turning to slide 10 and the U.S., we sold our first CHP products in to Kansas during the second quarter, two for our micro-grid demonstration project of Black & Veatch at their worldwide headquarters and two for CHP in a class A office building. In the mid-Atlantic area Infinity secured a follow on order for 25 C65 micro turbines totaling 1.6 megawatts for the use in various commercial and industrial CHP oil and gas applications. Looking north to Alaska, Chenega secured an order for 11 C65 liquid fuel units to repower McMurdo, the main US station in Antarctica. Chenega will use their prior cold weather packaging experience they gained from packaging four C30 units for [Altac] point which is located at the north slope of Alaska on the coast of the Arctic Ocean. With this development in Antarctica Capstone will have micro turbines at both geographic poles. Horizon continues to be a leader in worldwide C65 sales and delivered another strong quarter with shipments to Anadarko and WPX Energy both loyal, big, repeat customers. Horizon also shipped C65 to [Texas Utility Encore] for use as a micro grid demonstration unit. Micro grid and power resiliency demand seem to be picking up generally and these are areas Capstone provides additional value to CHP installations. In addition, Horizon has 75 C65 micro turbines scheduled for shipment now through December 2014 for several U.S. oil and gas customers. Elsewhere in the natural resources market Infinity received a follow-on order for additional six C600s totaling 3.6 megawatts for an independent oil and gas producer. That producer has operations in both in Marcellus and Utica shale. In Southern California Regatta Solutions secured an order for two C1000 micro turbines to Upgrader Technology Innovation firms. Energy Systems over in Caribbean secured a C1000 order to power an exclusive resort in the U.S. Virgin Island and also sold their first C1000 in Puerto Rico now that there is new natural gas price structure in place. And finally in Mexico Industrias Energeticas was invited to participate in a gas pipeline bid for six C800s and 16 C30s. Also Mexico EMS received an order for a liquid C200 to be installed at the Institute of Electrical Research. Let us turn our focus to slide 11 for Europe. In Europe we shipped 12 megawatts during the second quarter. Europe continues to show positive signs of economic recovery for Capstone. In Russia despite tensions and a softening ruble BPC had a very strong quarter and was our largest revenue producer in Q2, slightly edging out Horizon. They sold two ultra-high efficiency CHP installations further illustrating the ongoing Capstone growth in Russia’s manufacturing sector as BPC continues to add to its over 1,500 unit Capstone fleet. We are excited to see BPC continue to grow its business not only in oil and gas but also in the manufacturing sector as these two great projects showcase. At this time there is nothing that would restrict micro turbine sales to Russia or BPC. However the sanctions with Russia are certainly a concern and will continue to monitor the situation closely. Overall our Russian market is up approximately 33% on a year-over-year basis or trailing 12 months. This is all obviously despite geographic geo-political tensions. Germany continued to do very well for us. E-quad continued to enjoy the benefit of the strengthening economy. It is now our fifth largest distributor over a trailing 12 month period. In the UK our business opportunities are expanding rapidly with both of our partners, Turner and Cogenco developing solid project pipelines and we look forward to future growth. In France we have a new distributor, the former Turbec micro turbine distributor which has plans to start replacing fielded Turbec 100 kilowatt units with Capstone products. During the second quarter we shipped C1000 series products to IBT in Italy, Sarlin in Finland and we also expanded our presence in Slovenia with a sale of C1000 micro turbines to upgrade a large plastic manufacturing facility. Go ahead and turn to slide 12, as you can see in South America in Q2 we continued our efforts and missionary work in this region penetrating areas where we had sold little product before planting seeds for what we see is a very strong future growth market. In Ecuador Capstone was selected to participate in 20 megawatt associated gas energy project. In Brazil, Capstone distributor, Fluxo was invited to participate in a waste water treatment plant bid for 2 megawatts. In Columbia Capstone distributor Supernova commissioned two milestone projects for the oil and gas industry; the first is an offshore platform for Chevron that is using 2 C65s and the second is a gas treatment plant for Perenco using one C1000 and one C200. In Bolivia Capstone distributor, Monelco was requested to participate in specification and engineering of several compressor stations including C1000 units for a current C30 and C65 customer. Let’s move to the Middle East in Africa on slide 13. Much like in South America we are continuing our efforts in missionary work to establish a stronger foothold in these regions. We conducted our first product application training in the region with participants from Oman, Qatar, Egypt, Iraq and UAE in attendance. Capstone also participated in the Oil and Gas Summit in Africa during September where we held meetings with Expo, France, BP, Angola and Chevron, Angola. Our Nigerian distributors sold two C1000s for Capstone’s first offshore oil and gas application in the region and our first unit’s in the Middle East to our Oman distributor arriving this month. The end use customer in Oman is considering the purchase of three C200 as a follow-on to the original C65 order for flare gas to power applications. Finally we’ll go to Slide 14 and talk about the policy front. On August 11, 2014 Mexico’s president signed into law a comprehensive energy reform act opening up the previously wholly stated-owned energy sector to private energy firms. This is expected to lead to an increase in foreign investments to develop Mexico’s vast energy resources. On August 19th, the Alaska oil tax cuts veto referendum which was on the primary ballot in Alaska was narrowly defeated. This is a positive outcome that is expected to drive increased investments by oil and gas companies in Alaska. In North Dakota flaring standards intended to incentivize more natural gas capture were passed in July 2014 with the goal of reducing 95% by 2020. These new standards went into effect this October. California extended its self-generation incentive program which was said to expire at the end of 2014, extending it through 2019. And in Illinois they have added a CHP public sector private program to the Illinois’ Energy Now program providing incentives for development and operation of CHP projects in public sector applications. All of these policy developments bode well for Capstone’s future growth initiatives in North America. In addition to these policy related developments, the U.S. EPA Natural Gas Star Program has requested a presentation by Capstone highlighting best practices in oil and gas development for minimized methane waste for their international programs. This opportunity will give broad exposure to Capstone across natural resource applications both nationwide and overseas. Finally, despite the impact of softer gas prices on U.S. shale activity, drilling productivity is up in the U.S. according to October 2014 EAI report. In an analysis of drilling data through September 2014 and projected production in November 2014, new well oil production per rig and new well gas production per rig is up all over the major U.S. Shale plays. This is certainly encouraging news by Natural Resource Vertical and is in line with what as we see in our pipeline activity. On the R&D front, as you can see on Slide 15, we continue to make progress in several areas. We successfully completed the C370 system design review; we received CARB recertification of our C30 natural gas turbine for light and medium duty truck market in California; in our labs we demonstrated continuous operations of 70% CO2 of our C200, C1000 series for digester/land fill and global flare gas markets. In addition we achieved ATEX third party certification of the C200 for offshore oil and gas applications and installed half a million dollar grid simulator and upgraded our lab to commence the European grid interconnect certificate testing later this year. And finally we continue our life cycle testing of the low priced AFA material under our current DOE contract. Today we are holding this call from New York in preparation for an investor event which will happen tomorrow morning. We have invited a select group of institutional investors to learn more about the greater New York CHP market and the market potential and we are holding a lunch and learn session [at the] New York Palace Hotel’s 12 C65 micro turbines installation. Slide ’16 highlights the hotels economics which we will review in more detail tomorrow. We will also hear from Capstone distributor, RSP Systems about the favorable outlook for the New York CHP market and we will also have a presentation from NYSERDA, the New York State Energy Research and Development authority on their programs designed to increase CHP adoption in New York. All of tomorrow’s presentations will be available on our website under the investor relations section tomorrow. In closing I want to reiterate that based on our order flow and pipeline we are very confident that we will turn to year-over-year revenue growth and advance toward profitability in the second half of 2015. Clearly the first quarter of fiscal 2015 was disappointing but the second quarter bounced back very nicely. All indicators point to a much stronger second half of the year as we advance through EBITDA stock comp breakeven and modestly higher revenue compared to last year. We have worked extremely hard over the past year to improve our margin profile and today we are very pleased to see the benefits of lower manufacturing costs related to margins. As revenue expands in the future this will drive our crossover into profitability. The fiscal third and fourth quarters are typically and historically are strongest quarters of the year for revenues and shipments. Our pipeline is solid and we are excited about the future growth opportunity in the second half of fiscal 2015. So with that operator I will now open the call up for our analysts.
Operator: (Operator Instructions). Your first question comes from the line of Eric Stine of Craig-Hallum. Please proceed.
Aaron Spychalla - Craig-Hallum Capital Group, LLC: Good afternoon. This is Aaron Spychalla. Thanks for taking the questions.
Darren Jamison: Hey, Aaron.
Aaron Spychalla - Craig-Hallum Capital Group, LLC: Maybe first on the delayed shipments can you just talk about how much of those, from one quarter that you saw the impact of in 2Q and then you mentioned further delays in 2Q. Can you just talk about it and quantify those, what they were in the quarter and then just talk about what's driving those and what’s going to kind of make that kind of subside throughout the rest of the year.
Darren Jamison: Yeah, we talked about in the first quarter we had I think five or six C1000s that were on the dock at the end of the first quarter. It was all shipped in the second quarter. We did a better job matching our shipments and our production build to a very little finished goods this quarter. We are still seeing mostly oil and gas projects, those slip to the right and I think that’s why as we see the U.S. oil and gas market pick up, that’s helpful. I also think the CHP market will benefit us as well. We are seeing the CHP market, especially in North America pick up in Mexico. I am excited about all the distributors we have and a lot of the distributors that were not contributing previously are now starting to get up the curve, and as you see in the slides we put together, quite a few distributors around the globe are contributing to revenue. So Q3 is typically the strongest quarter and has been over the last several years. We are expecting another strong Q3 and following into Q4.
Aaron Spychalla - Craig-Hallum Capital Group, LLC: Okay, and then I mean you kind of talked about it but with the lower oil prices, can you just talk about potential impact on your business. If so where that might be and it doesn’t sound like you are not seeing much yet and maybe not expecting any but at what prices -- what price levels would you get concerned?
Darren Jamison: It’s really just about the drilling activity. I think the reality is we are still probably mid-single digits, as far as penetration, maybe high single digits in some areas. So we have a lot of opportunity even with the slowdown in drilling to capture more market share from folks. Obviously we think that Mexico which is off for us year-over-year because of the changes will eventually come around. If you look at the year-over-year revenue mix it is mostly Mexico. We have the change in law on the energy reforms and in Australia where we changed distributors and so we got a little bit of a hiccup of revenue in Australia. Both those things are short term issues and will rectify themselves. So we don’t look at ultimate gas price. It is more about drilling activity. And I think as I mentioned before we got very little market at all in the Middle East or Africa. That’s all virgin territory. South America is very small for us, big opportunities there. So I think between more market adoption of the technology and more customer concentration and getting more market share with each individual customer we have lots of room to grow.
Aaron Spychalla - Craig-Hallum Capital Group, LLC: Okay, good, thanks for the color. And maybe lastly in the past you had talked about the large orders, 10 plus megawatts that were in the pipeline, can you give us an update on those and…?
Darren Jamison: Yeah, I mentioned a couple on the call, 20 megawatt down in Ecuador that total opportunity is over a 100 megawatts. We got several large opportunities in Mexico. We are seeing some in Australia as well as in Africa. So moving forward we haven’t won a significant one yet. Obviously we will press release that when it happens but I think we are feeling very good at getting some of these, especially in the associated gas. My comments on running on 70% CO2 was very important for some of the associated gas sites, oil and gas sites. You can see high levels of CO2 where [simply again] engines can’t run at those levels. So it is another differentiator for us with our technology besides the emissions and the liability. So we do think we are going to see some 10-20 megawatt orders here and hopefully before the end of the fiscal year and those projects are moving ahead as we talked about.
Aaron Spychalla - Craig-Hallum Capital Group, LLC: All right, sounds good, thank you.
Darren Jamison: Thanks, Aaron.
Operator: Your next question comes from the line of [Ajay Kejriwal] with FBR Capital Markets. Please proceed.
Unidentified Analyst: Thank you, good evening all, and good to see the disclosure on the shipments by geography. So I have two questions. Firstly could you elaborate a little bit more on if you are seeing any changes in bidding activity levels in Europe and I know you touched on Russia if you could elaborate a little bit more on that. And then are you contemplating any price changes given the changes in the currency here?
Darren Jamison: No, I’ll take the second answer first. We do sell in U.S. dollars. We are sensitive to the fact that the strengthening of the U.S. dollar is impacting some of our customers. We will look at it on a case-by-case basis. We are not going to do a wholesale price reduction. And we wouldn’t do more than probably 3% to 5%. But we will look at that if there is a project that made economic sense six months ago and it doesn’t today, if it is that borderline and we will look at it potentially doing a case by case basis. So we are sensitive to that I think. As we become more of a global company, geopolitical issues and currency risk and all that stuff will be more important, so more time analyzing that. As far as Europe goes, as I mentioned during the prepared remarks, we had great quarter in Germany. We saw orders out of Italy. We saw them out of Finland, out of Slovenia, we are seeing a lot of activity in the UK with Cogenco and Turner. So we are feeling much better about Europe. We have a new distributor in France which we haven’t had a distributor for quite some time so that’s a great opportunity. They want to go repower up to a 100 Turbec installations, which is an Italian micro turbine manufacturer. So we see Europe as being very strong in the second half of the year and continuing in the next year. As I mentioned BPC is up 33% year-over-year. A lot of that is as they get into more CHP customers and not being so focused on oil and gas, which is great. They are doing a lot more industrial users, hotels, hospitals.
Unidentified Analyst: My second question is on the order flow, so on a more high level your recent order flow has been more diversified away from the oil and gas market. Could you sort of touch on how should we think about bidding activity levels and maybe as we look at the next 12 months or so where we can expect the most conversions in terms of potential bidding activity?
Darren Jamison: Yeah, I think you are seeing more bidding activity because of the new geographies we are getting into. I was Ecuador recently. We don’t have a single micro turbine running in Ecuador. Brazil, Columbia, all these areas we’ve had very little penetration but have some great opportunities. So I think that’s going to help us quite a bit. As we get into Africa and the Middle East that’s going to help us. I think when you see tomorrow’s presentation by RSP, our New York distributor they’ve put a good timeline together of how the market in New York has developed from a CHP standpoint, what their pipeline looks like today, what it’s looked like in the past and you will see very exciting growth, future growth potential for them. It has taken a while to see this market and get projects like the Palace Hotel up and running. But now that we have enough installations in New York we are starting to see the real traction with great support by NYSERDA. So I think if folks, do come to that investor presentation tomorrow they will be very excited about the future opportunity of CHP in New York but also throughout the U.S.
Unidentified Analyst: Well, thank you. Thanks for the update.
Darren Jamison: Welcome.
Operator: Your next question comes from the line of Matt Koranda with ROTH Capital Partners. Please proceed.
Unidentified Analyst: Hey, guys, this is Phil on for Matt. Hey, guys. So quick follow up on the pricing discussion earlier. I know you guys update your pricing, I think once a year, if I recall correctly. Can you talk in general about the pricing environment, your back of the envelope analysis suggests the ASPs per unit in the quarter were $161,000 and I think in the year ago period you guys were at a $180,000 per unit. Have you had to make any pricing changes at all either intra year or just any thoughts on that would be helpful. Thank you.
Darren Jamison: Yeah, no pricing changes intra year. Like I said as we see pricing pressure because of the strong dollar we may on a case by case basis do a small incentive to help offset that. We do raise prices every April, April 1st. We did raise prices approximately 2.5% this year 3% on some product and we see continuing to do that going forward. So really we look at the project economics, that’s the most important thing. So if the project economics support the sale of the product, we go forward if they don’t and if it is closer or the distributor needs some help to make the economics work that is when we look at discounts. So I would say we haven’t discounted an abnormal amount lately. I am watching that though as we go forward with a strong dollar we may have to discount a little more going forward than we have historically. But then again I think that will more than made up with the revenue growth we are expecting to see.
Unidentified Analyst: Great, thanks Darren. A quick follow up here on margins. Historically you provided a waterfall chart that walked through how to get to your target gross margins of 35%. Can you update us on what that chart might look today and the potential timing of getting there?
Darren Jamison: Yeah, the challenge of that chart is that it’s revenue dependent. So when we have lower revenue quarter-to-quarter the chart gets a little misleading. But what you are going to see I think as we talked about in our prepared remarks, even though revenue is off 5% year-over-year we’re still 240 basis points better on margin. So I think that’s excellent testimony of the fact that we continuing to take the cost out of the product. So most of that cost reduction of actual purchase material, warranties have also been trending very nicely. We will probably bring that chart back next quarter or maybe at the end of the year when we have little better numbers. Obviously the total revenue impacts the margin numbers. So if we were doing a $37 million to $40 million quarter we’d be north of 20% probably in the low 20s.
Unidentified Analyst: Great, Darren, that’s helpful. Thank you. I will jump back in queue.
Darren Jamison: Thanks, Phil, thanks.
Operator: Your next question comes from the line of JinMing Liu of Ardour Capital. Please proceed.
JinMing Liu - Ardour Capital Investments: Hi, thanks for taking my question.
Darren Jamison: No problem.
JinMing Liu - Ardour Capital Investments: Yeah, first a question regarding the bad debt expense. I am trying to understand the situation. So if I understand correctly there was end customer had problem but the distributor passed on the uncollectible due to you. Was that the case or…?
Darren Jamison: Yeah, so we -- obviously we sell to distribution. If the distributor doesn’t get paid on a project or is paid late by contract that should not impact us. But the reality of the situation is it often does. This distributor is one we think very highly of. They took some other product recently. This actual order we believe will proceed in probably December-January time frame. So we fully expect to collect that money. In fact they are looking at doubling the size of order from three megawatts to six megawatts. Because of the failed initiative [inaudible] going forward with that distributor. So it’s one of the challenges using a distribution model. It happens very rarely. I think if you look at the time I have been with the company we’ve done almost $650 million of revenue and besides Green Environment which went bankrupt on us we had very little incidents like this. So we think it is a speed bump and we think it will reverse itself in either Q3 or Q4 and we will go on with our business.
JinMing Liu - Ardour Capital Investments: But the $ 2.9 million was just the -- for payment by your guys.
Darren Jamison: No, it will be paid. So it is a reserve today, we did not write it off. It’s a reserve for the product and when the product ships to the customer they will obviously collect and pay their bill. So it will not be forgiven. We will just see it reverse from a bad debt perspective. In today’s accounting world because the receivable is older and we didn’t have clear path to payment on it and we had to make a reverse to be conservative.
JinMing Liu - Ardour Capital Investments: Okay, so the products are still, the products, the physical products are still with that distributor.
Darren Jamison: Correct.
JinMing Liu - Ardour Capital Investments: Okay, okay, got that. Regarding your booking for the quarter, if I calculate correctly looks like there were cancellations of 2 C800 units during the quarter. What's going on there?
Darren Jamison: Yeah, a lot of customers will change their orders after they in, they changed the C800 to C1000. So it’s probably what happened in that case. I will have to look at the specifics of it but I believe that the customer decided before they took the product to upgrade it to C1000, which is not uncommon.
JinMing Liu - Ardour Capital Investments: Okay, okay, good. Regarding the Mexico end market the potential in there, do you have a distributor targeting that country or you have to set something up?
Darren Jamison: No, DTC is our, I think 6th largest distributor today. They are in Mexico, IE is in Mexico. We’ve got several Mexico distributors but IE and DTC are the two largest. So they are very large for us. Pemex is one of the largest Capstone users in the world, especially from an oil and gas standpoint. So again we expect them to continue growing after this new referendum is in place.
JinMing Liu - Ardour Capital Investments: Okay, got that, thanks a lot.
Darren Jamison: No problem, thank you.
Operator: There are no further questions, thank you at this time. Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a good day.